Operator: Good morning, ladies and gentlemen. Thank you for holding and welcome to the DSM Conference Call on the FY Results of 2016. Throughout today’s presentation, all the participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] Now I would like to turn over the call to Mr. Huizing; please go ahead.
Dave Huizing: Thank you, operator. Ladies and gentlemen, good morning and welcome to this conference call on our 2016 full-year and quarter four results, which we published earlier this morning. I’m sitting here with Mr. Feike Sijbesma, CEO and Chairman of the DSM Managing Board; and Mrs. Geraldine Matchett, CFO and Member of the DSM Managing Board. They will elaborate on the results and after that answer your questions. As we are fully aware that you have a very busy day today, with several companies reporting, we will try to keep this call somewhat shorter and make it a max of about 45 to 50 minutes, in order to allow you to your next call. As a reminder, I am obliged to caution you that today’s presentation may contain forward-looking statements. In that regard, I would like to point you to the disclaimers about forward-looking statements as published in the press release and on the website. And with that being said, I will hand over to Geraldine.
Geraldine Matchett: Thank you, Dave. Good morning, ladies and gentlemen, and welcome to this call on DSM’s Q4 and full-year results for 2016. As Dave has mentioned, we will try to keep this call to about 45 minutes, but I would nonetheless like to start with a few opening comments on our key slides of our investor presentation that was published this morning, together with a press release, and that you can find on our website and through our investor relation app. Let me start on the full-year highlights, on Page 2. As you can see on this slide, 2016 has been a very good year. And in this sense, also represents a good start to our three-year strategy period. While we were aiming for a high single-digit growth in adjusted EBITDA, we actually achieved a 17% growth and while we were aiming for around 100 basis points in increased ROCE, we actually achieved a 280 basis point increase. These results, clearly ahead of our initial ambitions, were achieved thanks to a strong focus on operational performance, and in addition, benefited from somewhat positive pricing in nutrition and low input costs in materials, enabling us to deliver this high teens EBITDA growth and good ROCE improvement. Step-ups in margins were achieved in both nutrition and materials, resulting in an operating cash flow of over EUR1 billion, which is an increase of 27% over prior year. Looking forward, we are confident that in 2017, we will again deliver on our strategic objectives, although macroeconomic conditions do remain uncertain. As a result, our outlook reads: DSM aims to deliver a high single-digit percentage adjusted EBITDA growth and a high double-digit basis point ROCE growth, in line with the targets set out in our strategy 2018. Finally, reflecting our confidence in the financial performance of the Company, we propose an increase in dividend from EUR1.65 to EUR1.75 per ordinary share. These were the main highlights for 2016. And in order to comment on our performance in our nutrition business, let’s move to Page 9. As you can see, nutrition had a strong year, with a 5% organic growth and an adjusted EBITDA up 13% versus 2015. Both animal and human nutrition contributed to this top-line growth, with a respective 8% and 4% organic growth. The full year EBITDA margin reached 18% versus 16.6% in 2015, supported, amongst others, by efficiency and cost-saving programs; and the ROCE increased to 12% versus 10.3% in prior. In quarter four, we reported a 2% organic growth and an EBITDA up 16% to EUR238 million. Now before moving to animal nutrition, I would like to remind you that, as indicated in a separate press release issued yesterday, we have updated the way nutrition results are presented, bringing them better in line with the way that these businesses are organized and steered. Information on this change can be found here in this presentation, also on pages 10, 11 and 12, but for animal nutrition let’s more straight to Page 13. Animal nutrition had a strong year with an 8% organic growth, of which a solid volume growth in all regions, except Latin America. Prices were up in a number of vitamins and premixes, while currencies had a negative impact of 2%, coming mainly from the Brazilian real. In Q4, organic growth remained strong at 6%, driven by a positive price/mix effect. Market conditions in Q1 remained good, with solid volume growth in Europe, Asia and North America. However, please note here that the volume comparison versus prior year in Latin America for Q4 was tough due to timing of orders in 2015. Now moving to page 14 on human nutrition; over the full-year 2016, human nutrition delivered a healthy step-up in organic growth to 4%, which compares very favorably to recent years, despite overall soft market conditions. This was supported by focused sales and marketing programs, as well as innovation. In Q4, good volume growth came from i-Health, as well as from the food and beverage and infant nutrition businesses. However, overall organic growth was impacted by lower vitamin C volumes, following an extended maintenance shutdown of our plant in China during the third quarter that has, in the meantime, stopped and now has normal supply patterns. Normalizing for this effect, we would have recorded a 4% volume growth in quarter 4. Next to that, we saw lower prices on average in quarter 4, mainly due to some special pricing promotions in dietary supplements and less favorable product mix in the quarter. Now for materials business, please turn to page 17. Our materials business confirmed its strong financial performance with volumes up 4% in 2016, while adjusted EBITDA increased 13%, driven by strong growth in our higher-margin specialties, low input costs, as well as the efficiency and cost-saving programs. In Q4, volume growth was 7% driven by specialties on the back of continued favorable trading conditions, while prices were down 3%, fully reflecting the lower input cost environment. We noticed that the usual Q4 negative seasonality was less pronounced this year, indicating resilient end-market demand in combination with some stocking effects as raw material costs started to increase. Regarding profitability, adjusted EBITDA margin in Q4 was 16.4%, which is lower than in previous quarters, due to incidental costs and slightly higher input costs, but remains clearly above the Q4 2015 margin of 15%. Looking on a full-year basis this translates in 200 basis points increase in margins. And now moving briefly to cash generation, please turn to page 24. As indicated in our strategy 2018 we have been rigorously working on increasing our cash generation. And I’m happy to report a strong operating cash flow of over EUR1 billion, up 27% versus the EUR 800 million in 2015. Total working capital amounted to a bit less than EUR1.5 billion at the end of 2016, which represents 18.4% of annualized sales versus 17.4% at the end of 2015. However please note that the average total working capital as a percentage of sales decreased reaching 18.6% versus 20.7% in prior year, which is a significant improvement and better than our stated aspiration level of below 20%. This strong operating cash flow, as well as the proceeds from the secondary offering of Patheon shares, enabled us to further improve our balance sheet and reduce net debt by EUR250 million to just over EUR2 billion. And to conclude, let’s move to page 32. As you can see on this slide, we are pleased to report that the cost reduction and efficiency programs are fully on track to deliver the targeted cumulative gross cost savings, with a run rate at the end of the year of approximately EUR110 million in savings. Next to that, the implementation of the new operating models to create a more agile, commercially-focused, and cost-efficient business are well under way. You can find more details on the progress we have made on these programs on the pages 33, 34, and 35 of this presentation. Last but not least, in 2016, DSM has again made good progress towards its sustainability aspirations. In this light, I would like to point out that DSM was once again named the global leader in the materials industry group in the Dow Jones Sustainability World Index in 2016. It’s the seventh time the Company holds this number one position. And with this, we would like to open the floor for questions. Operator?
Operator: Ladies and gentlemen we will start the question-and-answer session now. [Operator Instructions] Go ahead. The first question is from Andrew Benson from Citi. Please go ahead.
Andrew Benson: Yes, thanks very much. You talked about some promotional costs in the fourth quarter. I just wonder if you could dimensionalize that and talk about what the objectives from that are. Can you also talk about how raw materials are likely to impact in both divisions? And you spoke about materials going up. And then perhaps the obvious question on how the current vitamin price outlook fits with your stated growth objectives for 2017. Thanks.
Geraldine Matchett: Okay good morning Andrew. Thank you for your question. Let me maybe start here with the raw materials. And then we’ll come on to the other topics. As you know we’ve been flagging throughout the year that, and everyone knows the low raw material environment right now, what we saw in Q4 is a slight increase. We drive primarily our business, we’re steering it through the EBITDA growth. So the margin in itself is not too worrisome. You also have the mathematical effect with that. So what we are seeing is, while there is a bit of an uptick in raw materials, we would expect to stay above 16% going forward. And here I’m referring to our materials businesses where it’s the primary consideration and comments that we make on raw material. Now do you want to have…
Feike Sijbesma: On the vitamin prices, and the promotions, you saw that the fourth quarter shows a relatively good volume growth in our human health business with 2%, which was hampered a little bit due to the vitamin C stoppage in Q3, otherwise it would have been higher than normally. So the human health had good volume growth. But the prices in human health were a little bit lower in Q4. And that might be a little bit the mix, but also some promotional activities we had in the fourth quarter, i-Health’s dietary supplements related. So if I look to a little bit ongoing situation, I don’t see that prices are dropping, nor increasing. And that brings me to the total vitamin pricing situation. Vitamin E peaked mid this year and is back more or less where it was in the beginning of the year or in 2015. So as an average we don’t see big changes. Some vitamins are a little bit up. Some others are down. But overall, and also for 2017, we do not anticipate on further increases, nor to be honest decreases. Although we like higher prices always more. Need to be a little bit careful about all this vitamin stuff, it is 30% of our nutrition business; vitamin E only 6% of our total nutrition business. And I know we talked a lot about that in the past, due to the fact that in the past we had suffered from the decrease. But it is now what it is at the same relatively low level. We can be competitive at that level. And the business is growing in EBITDA, in sales. So that means that in several other products, we’re doing pretty well and that’s basically the case also.
Andrew Benson: Thanks very much.
Feike Sijbesma: Next question.
Dave Huizing: Operator?
Operator: Yes the next question is from Stephanie Bothwell from Bank of America. Please go ahead.
Stephanie Bothwell: Yes, thank you. Good morning everyone. So the first question on animal nutrition volumes, which were down in the quarter. You’ve obviously flagged that the comparable base was relatively high. But I wondered if, perhaps, you’d give us some additional color in terms of what’s actually going on in the underlying?
Feike Sijbesma: Yes, the animal health business, indeed, in the fourth quarter had flat volume growth, two effects. One is the all effect in Latin America, not doing excellent at this very moment in Brazil, to say it clear. And the second effect was the tough comparison with the very strong animal health quarter in Q4 2015. If you look over the total year, I think our business shown a 3% volume growth and human health even 4%, and that is good. And we should be careful not managing or looking to the business month by month, so only quarter by quarter. If I look to 2017, and it’s early, it’s only one month under the belt but I think we started the year well. And I look positive to continued volume growth also in the animal health business.
Dave Huizing: Operator?
Operator: Yes, I’m here. The next question is from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander: Good morning. Can you give a quick update on the trends you’re seeing in omega-3 as an infant nutrition?
Feike Sijbesma: Yes, infant nutrition continues to grow and to be important. And our omega-3 business is very strong in the infant formula business and it remains. We have very tight relationships with our customers there. We have special strains of products. We mentioned that before. Here and there you might see some pressure on the prices. But that is strongly related that we see further cost price reductions there. You see it mainly in our human health business because there this is reported. And so the margin is pretty good and pretty stable. The omega-3 business, not for the infant formula, so the fish-oil based, and together with the dietary supplements, the biggest business there is in the United States. It’s not growing fast, as we have seen, but it is growing much better in regions outside the United States. And that’s continued to do well. To be honest, we have been pretty much back on the growth track with our human health business. If I take the whole business, we had 4% volume growth. We had flat pricing over the total year 2016, so 4% organic growth with our total human health business. And I would call that pretty strong. Animal health at 3% volume over the whole year and almost 5% price increase, so that saw an 8% organic growth. So if I look to both businesses, the organic growth had forecast a little bit quarter by quarter. But if you take the whole year, a pretty strong year to be honest.
Laurence Alexander: And can you give any perspective on what your JV partners are thinking about retaining or divesting assets? Or are you unable to comment on that?
Feike Sijbesma: Yes, as you know, we have three big joint ventures. One is Patheon; basically it’s not a joint venture anymore because it’s just a company quoted on the stock exchange and we hold shares. We have roughly one-third of all the shares, 50 million shares. So you can look up the share price every single day. I think it’s around $30 at this moment, so that’s $1.5 billion if you count or to calculate that. And that is one. Over time – but there are all kinds of rules, and over time we will step out of this and we can just sell the shares but not immediately. The other joint ventures, which are Chinese in antibiotics. And at a certain moment, we will monetize that also, step out of that. And the last one, and that will take also the most time, is the joint venture with CVC, where we own 35% in the bulk chemicals, caprolactam, et cetera. Over the coming period, 2017, 2018 and don’t pinpoint me on every quarter, it could also be a quarter in 2019 or whatever, we will divest all three. But you can make your calculations what the proceeds will bring off those three. Towards 2018, we will look again into acquisitions. But I add to that, today not. We have deliberately said at the end of 2015, we’re very proud on the portfolio we have created. But we think we need to get better financial performance out of that same portfolio. And the second half of 2015, after the last divestment, 2016/2017, fully focused on operational performance. I’m glad that we finished a very strong 2016 with almost double increase of EBITDA than we promised before, so that we focus on. But later on, this whole proceeds will come in and acquisitions will be back at the table, but not today, because now it’s focused on operational performance.
Laurence Alexander: Thank you.
Operator: [Operator Instructions] The next question is from James Knight, Exane BNP Paribas. Please go ahead.
James Knight: Good morning, thank you for the shorter call. A couple of questions around nutrition and apologies, back to vitamin E. But there’s been a lot of noise, as I’m sure you know, about a potential new Chinese entrant in the next few months. Do you think that’s already reflected in today’s spot price? Is that partly behind your comments about prices or, if I paraphrase, about prices in vitamin E troughing or maybe your perspective around the likely success of that potential new entrant? And secondly, again an old topic but resurfacing, bird flu, seeing headlines today about Chinese poultry prices continue to go down, et cetera. How should we think about this as a potential threat for nutrition in both Asia and Europe this year?
Feike Sijbesma: Okay. Bird flu or all kinds of other animal diseases are always a risk for our animal nutrition business. Luckily enough, over the recent period, the last year, the last 1.5 years, we have not seen big outbreaks of bird flu or any other disease. And to be honest, also not today, but there are always some pockets of bird flu in the world always, and you get some stories but it’s not a major topic at this moment. I warn towards the future, but that can be in years to come. It can always impact the business. But at this moment, I don’t see any big impact. On new entrants in vitamin E, indeed I only repeat, we, ourselves, brought vitamin E strongly into the agenda. So I cannot accuse, I never accuse any people, but I cannot even do that. If I need to accuse, it’s us bringing it at the table because we had a big decrease of our profit due to the vitamin E competition. At this moment, the prices are the same as in 2015, the same as the beginning of 2016, despite the spike in the mid of 2016. And we already said at that moment, let’s not be carried away by that spike because maybe new entrants, things, competition and it is back where it was. So I agree with you. I think the new entrant stories are priced in. I think the market knows. What we have seen in the past is that the trough is around this EUR5 where it is today, whether it’s EUR4.90 or EUR4.80 or whatever, be lower. People step out, new people step in, fine. We defend our market share. We can be competitive at this price level. We keep our position. I like higher prices much more but I don’t anticipate that at this moment.
James Knight: Very clear, thank you.
Operator: The next question is from Paul Walsh from Morgan Stanley. Please go ahead.
Paul Walsh: Good morning guys, thanks for taking, two questions from me. On the materials business, another nice quarter, another good performance. We’ve already heard your comments around raw material cost inflation to be managed. My question was more along the demand side of the equation. I wondered if you could just elaborate on what you’re seeing in the early parts of 2017 around demand, which clearly was very solid in the second half of last year. Do you see those trends continuing to accelerate in automotive, the lightweighting thematic, especially in China? And then maybe my second question around the broader animal nutrition business. Obviously, a very good year in 2016. Does that represent tough comps? Or do you think that that volume improvement you saw last year can continue into this year as well?
Geraldine Matchett: Good morning, Paul. Regarding the performance material demands, I mean yes indeed, there’s a lot of different moving parts there. What we’re seeing is that the market conditions remain pretty solid for us. What we are seeing in the automotive sector is that, effectively, and I’m sure you follow that, some of the local incentives have been rolled forward to 2017, which was partly supporting the demand last year. And we see that as continuing. Overall what we’re seeing is, I would say, a continuation of the kind of conditions that we have seen in 2016. So in that area, nothing very new as far as we can tell at this stage. So as you said, a good year 2016 and that should set us up nicely for 2017. In terms of our resins business, there we have very positive momentum. We’re also gaining some share. We’re having a good traction in both powder and water-based resins. Particularly in China, where I have to say that the environmental regulations are bringing more attention to this technology, which is very helpful. But also a good development in our fiber optic coatings and we also have a good momentum in our Dyneema business. So I would have to say, overall, market conditions for materials are looking, as we can tell at this point, pretty solid.
Paul Walsh: Before you move on to the animal nutrition business, do you think you see any restocking because of the inflation thematic and clients kind of putting a bit more order through because they’re worried about paying higher prices? I know it’s difficult sometimes to disaggregate that, but just curious.
Geraldine Matchett: I think it’s fair that there is possibly a bit of stocking. If anything, it could be somewhat in the automotive industry. As there is – and I know you’ve been on other calls today, where input costs have been a big topic, that can happen. Although I have to say it is not that easy to – it’s not as if it is very obvious. But we would expect that there’s a bit of an element of our 7% volume growth in Q4 that came from some stocking.
Paul Walsh: Okay.
Feike Sijbesma: Yes. The nutrition business, indeed, and listen, we need to grow in our nutrition business. We are doing that. On human, we are back on the growth track. 4% growth this year. Good. And I need to say the end market is a little bit soft if you see the food companies to whom we supply. They reported a little bit softer growth. Also in the emerging economies. But we said, I think, we should grow 3%, 4%. That was our strategic goal for the years to come. So I targeted that also again for 2017, and what the exact figure is we need to see but we target on that. In the animal, we have shown almost 8% growth, but 5% was due to pricing and 3% to volume. And we believe even 4% growth rate in animal business, 4% plus, must be possible. And also that I target. I agree with you, the comps become tougher, because we had a pretty strong 2016. Nevertheless, and I’m glad you raised the point, we did almost twice as good in 2016 in our EBITDA. And then we set in our long-term plan. But nevertheless, we say we do this year again a step-up high single-digit EBITDA growth, and that needs to come not only from cost reductions but also the growth of the business. So both animal and human also in volume.
Paul Walsh: That’s great, guys. Thank you very much.
Operator: The next question is from Andrew Stott from UBS. Please go ahead.
Andrew Stott: Yes, good morning UBS, actually. Just a couple of questions, thanks for taking them. So, and the first one is really useful slide, so thanks for that. On page 34, which is the update on where you’re at with each of the strategic goals? I suppose the question really for me is the IT. So you’re half-way through your changing your IT operating model. I’m just wondering what that’s given you, away from just cost savings, what’s that giving you so far as you look into the organization with regards to two things. One, how you price each customer. I wonder if you’re getting better transparency there. And two, how you’re also managing working capital. Obviously, signs of improvement already, as you mention. But I just wonder if you can give me a broader feel for the IT-related platform improvements. That’s the first question. And the second question is more straightforward, on CapEx. So you’re saying you’re below your original guidance by around about 10% at the mid-point. Is that a new norm or are you just saying that phasing means that that’s the case for 2016? Thanks.
Geraldine Matchett: Yes, good morning, Andrew. Maybe I’ll start with CapEx. That one’s quite straightforward. I’m definitely not saying it’s the new norm. In fact, I would probably guide towards, once again, EUR500 million to EUR550 million for the coming year, which is pretty much what we were indicating at the Capital Markets Day, with a bit of an anchor figure of about 6% of sales as being, broadly, still the relevant number. Now, timing does play a part here, and as you remember, maybe, at some of our Capital Markets Days, particularly in South Carolina, in Charleston, we have a few projects which are a bit bigger. And when they come on stream, that can make the difference between a number that starts with a four and a number that starts with a five. So that would be on the CapEx side.
Andrew Stott: Okay, sorry to interrupt, Geraldine. Does that mean 2017 should be upper end to compensate the lower end, if you like, for 2016?
Geraldine Matchett: I would say between the EUR500 million and EUR550 million. Again, timing is critical here in terms of determining exactly where we will be. But we’ll provide updates as we go along.
Andrew Stott: Okay, thanks.
Geraldine Matchett: It’s not a guarantee that we are at the higher end of the range.
Andrew Stott: Sure.
Geraldine Matchett: And then on the IT developments, there’s really two aspects to that. On the one hand, our IT function is going through the similar optimization as the other functions in the Company. So, we’re verticalizing our resources, we’re creating a lot more shared service, et cetera. So they are part and parcel of the, what you heard us refer to as the Darling project, which is very much about getting efficiencies out of all of our functions. Now, in conjunction with that, we’ve been doing a lot of work on our IT strategy and digital strategy during the year 2016. And that is indeed shaping the way that we want to drive our platforms going forward. Now, happy to discuss offline what the implications are, because they are all over the place.
Andrew Stott: Sure.
Geraldine Matchett: It is about data transparency. It’s also about, actually, new technologies coming on board. So, for example, the one ERP is not necessarily the golden ambition any more. It’s about data transparency, data lakes and layers. So there’s a lot of new technology there that we can leverage to get what we would want, which is better transparency.
Andrew Stott: Brilliant, thank you very much.
Operator: The next question is from Neil Tyler from Redburn. Please go ahead.
Neil Tyler: Yes. Good morning. A couple from me as well, please. Back to materials. Can you confirm whether – within the original medium-term targets, you anticipated the high single-digit EBITDA growth was going to apply to each of the businesses individually? Do you still expect, irrespective of what the margin actually comes in at, to be able to grow EBITDA? I just wanted to clarify your comments on the ambition there in 2017 on 2016. And then, specifically on the CapEx, on Andrew’s question. Presumably the guidance range that you’re talking about for 2017 still excludes the potential boost projects that you were outlining in South Carolina. And then, finally, just a small one on currencies. From memory, your medium-term guidance is constant currency. Can you help us with just what you expect the spot rates would imply at the EBITDA level? Thank you.
Geraldine Matchett: Sure. Good morning, Neil. In terms of the CapEx, within the range EUR500 million to EUR550 million, I’m expecting to be able to fit in the first phases of some of those boost projects. And as you know, and as we had indicated, these get spread over two, three years, depending on each one. So I’m expecting, for 2017, barring a particular acceleration on one or the other, that we would be able to stay within that range. Then, in terms of the foreign exchange. So the picture, if we look at today’s exchange rate, broadly, and we use – the rule of thumbs have not changed materially from what we’ve been disclosing in the past. We would expect to see a little bit of a plus in 2017, maybe – including hedging that is, maybe around the EUR20 million but we’ll have to see. There’s quite a lot of bumping around going on, so we’ll have to see how some of the main exchange rate relationships develop. As you know, for us two of the key ones are the U.S. dollar and the Swiss franc but of course Brazilian real has been a big portion of the pie, so has the renminbi. So at present, taking today’s exchange rates as a proxy, we think a bit of a plus but not a very significant one.
Neil Tyler: Okay. Thank you.
Feike Sijbesma: On the first question, the guidance. Let’s go back until 2015 we said 2016, 2017, 2018, focus on getting the maximum out of the portfolio we have created. Not too much focus on acquisitions or further transformations, divesting the joint ventures but growing our business, increasing the operational performance. EBITDA increase, high single digit, pick your number what it is and multiply that by three every single year. First year, 2016, we did double of that, ended up at 17% of EBITDA growth. 2017, again a high single-digit growth on a higher comparative basis. That means we are well on track. Now you can say does high single digits mean that also that you can do high single digit and in materials and in nutrition. We don’t go through a total waterfall of our internal budgets and all that stuff, but I expect in both businesses to grow and to make progress by increasing volumes with a little bit flat pricing policy or margin policy and by reducing further costs. So forgive me not to give a total breakdown and a waterfall per business, but we cannot do high single-digit for the total business if some of the business are not growing. So we will grow all businesses.
Neil Tyler: Thank you, very clear.
Operator: The next question is from Patrick Lambert from Raymond James. Please go ahead.
Patrick Lambert: Hi, good morning, everybody. I have a few questions but I’ll be brief. I just want to know a bit more color on i-Health growth, especially if you could talk about North America growth and also your – I think that you highlighted the capital markets in your geographical expansion, how it is growing currently. That’s my first question. The second questions regarding annual nutrition. If I take out Latin America, how much would have been the growth and could you also comment a bit more on the three geographies remaining, especially in North America. Because apparently we’ve seen very good exports of all sorts of poultry and beef there and is that offsetting the overall softness of the meat markets globally? And last one for Geraldine. Would you help us calculating the run rate exit of 2016 over restructuring savings? EUR110 million for the full year, what would be the run rate going into 2017? Thanks.
Feike Sijbesma: All right.
Geraldine Matchett: Good morning, Patrick. I’ll take maybe your two last ones. On the run rate, the EUR110 million is the run rate, so that’s quite straightforward. So we were saying at the end of last year we had a EUR25 million run rate. Now if we accumulate the two, we had a EUR110 million run rate. And you see there the expected progression going forward, which by the way is a little bit ahead of the scheduling that we had indicated we thought we could achieve at the Capital Markets Day. So that’s on the programs. Now to your question on the effect of the timing of sales and LatAm. If we correct for that, the minus 1% of growth would be 2%, so instead of the minus 1% it’s a plus 2%, so it’s a 3% impact. And I have to say that indeed if you look at the business conditions around the globe, generally speaking we’re seeing again very solid market conditions pretty much in all species and all geographies. Now there was a question on bird flu and there have been pockets but nothing that has really impacted our business materially. So market conditions are strong, other than Latin America, which we have been flagging for a while. So that’s really the overall picture for animal and – do you want to comment?
Patrick Lambert: Nothing special in North America in Q4?
Geraldine Matchett: Nothing special in North America in Q4 for us.
Patrick Lambert: Okay.
Feike Sijbesma: And I have on i-Health, yes, by far the biggest business we address with-Health is the North American business. It’s growing very, very well. Due to the success there, we want indeed, like you said, we mentioned in Charleston, to replicate that success in other regions, amongst others in Asia. We’re working on that right now, but it is still in its infancy and we need to work that out further. We have our hands full to manage all our good growth in North America which is doing well, but at a certain moment, you will see that we will replicate that model in other markets also, in Asia to start with.
Dave Huizing: Okay. Then we have time for one last quick question. Operator.
Operator: The last question is from Mutlu Gundogan from ABN AMRO. Please go ahead.
Mutlu Gundogan: Okay. Two questions, if I may then, one on vitamins. Feike, you said that you expect hardly any changes year on year in 2017. Can you talk about the phasing throughout the year, because you did have a benefit in Q4 2016 if I’m not mistaken? So do you expect that to come to zero in immediately in Q1, or should we expect the positive impact in the first half being offset by a negative impact in the second half? Any help there would be nice. And then secondly, sticking to nutrition, maintenance shutdowns have been – there have been several maintenance shutdowns, and also the impact on earnings have been, I would say significant. Any guidance on 2017 in terms of shutdowns would be helpful. Thank you.
Feike Sijbesma: On the first question, the answer is, yes. Let me repeat the question because maybe people forgot. But indeed, as you see, in the fourth quarter we have, in animal health, partly vitamin E, partly some other vitamins, a 5% price increase compared with 2015. If you remember, in the first quarter, first half-year of 2016, amongst others, vitamin E price but also some others were lower. So due to the timing, indeed, I expect that you will see that pricing-wise at the first half -year, if we report a comparison, that pricing-wise the first half-year looks better than the second half-year. Over the whole year, if I look to margins coming from price increasement, I would say – I would take that rather flat. But there is a difference between first half-year and the second half-year, due to that timing. On the other hand, cost savings are ramping up during the whole year, etc., and so it does not have to be that the EBITDA also progresses in the similar way, if that is helpful, Mutlu.
Mutlu Gundogan: It is. It is.
Geraldine Matchett: I would have to look. Every year, we have scheduled shutdowns. Some of our bigger plants have it every year; some every other year. So we will have to look into the schedule, but it is indeed part of the normal rhythm. Maybe one that I would point out this time is, and we refer to it in our press release, the vitamin C shutdown in 2016 was longer than the usual maintenance one, which partially, by the way, impacted a bit the growth in Q4, which we had flagged. But I’d – there’s nothing in particular that we need to flag at this stage that’s particularly unusual versus our normal shutdown, at least the planned one.
Dave Huizing: Okay. That means we can – we have to round off now. Geraldine, do you want to make some closing remarks?
Geraldine Matchett: Yes. Thanks, Dave. I’ll keep it very short. First, thank you very much for your time. As we’ve said, we feel that 2016 has been a very solid year, a good year; a great way to start our three-year strategic period. And our guidance, as we’ve indicated, with all the macroeconomic uncertainties and high comps elements put in today, we’re still very committed to deliver the targets that we expressed in the Capital Markets Day and that are written in our outlook. And with this, I wish you a good day.
Dave Huizing: Okay. Thank you, Geraldine. Thank you, Feike. This concludes our conference call for today. Thank you very much for your attention and your questions. If you’ve any further questions or background information, please feel free to contact us. And with that, I give the call back to the operator.
Operator: Ladies and gentlemen, this concludes the event call. You may now disconnect your line. Thank you.